Operator: Ladies and gentlemen, thank you for standing by. Welcome to the B.O.S. Third Quarter of the year 2013 Results Conference Call. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder, this conference call is being recorded and will be available on the B.O.S. website as of tomorrow. I would like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events or the future performance of the company. These statements are only predictions, and may change as time passes. B.O.S. does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the company with the SEC. I would now like to hand over the call to Mr. Yuval Viner, CEO of the company. Please go ahead, Yuval?
Yuval Viner: Thank you and good morning to all our listeners in the U.S. and good afternoon to those who are joining us from Israel and Europe. We are very pleased with our continued successful implementation of our long-term strategy to improve B.O.S.’ financial position and operational results. The results for the third quarter of 2013 reflect both, top and bottom line improvements over the previous quarter of this year and the comparable quarter of last year. Since the beginning of the third quarter of this year, we have faced increased demand from our customers mainly in Israel. This demand resulted in a growth of 16% in revenues in the third quarter as compared to comparable quarter last year, and a net profit of $219,000 in the third quarter as compared to a net loss of $66,000 in the comparable period last year. We are also continuing our work of our strategic plan for the upcoming three years. We believe this plan will gradually set B.O.S. on a path of growth. Our outlook for year 2014 still remains profit on a non-GAAP basis -- ‘13 sorry. Now, I would like to turn over the call to Mr. Eyal Cohen, our CFO.
Eyal Cohen: Thank you, Yuval. In parallel with the growth in revenues, our day-to-day efforts to become more efficient, led to a reduction of 14% in operation expenses in the first nine months of the year ‘13, as compared to the comparable period last year. Balance sheet ratios of inventory days, account payable days and account receivable days were all improved in the first nine months of year ‘13 as compared to year ‘12. In addition, the continuing trend of reduction in our loans, positively affected on -- first, decrease of financial expenses by 44% in the first nine months of year ‘13, as compared to the comparable period last year. Second positive affect was a decrease in ratio of loans to EBITDA This completes the financial review. Thank you very much.
Operator: Thank you. (Operator Instructions) There are no questions at this time. Before I ask Mr. Viner to go ahead with his closing statement, I’d like to remind participants that a transcript of this call will be available on the company’s website, www.boscorporate.com by tomorrow. Mr. Viner, would you like to make your concluding statement?
Yuval Viner: Yes. Thank you. We are continuing our day-to-day effort to streamline our operations and expand our solutions offering. We are confident that we will meet our challenges. Thank you and great year for all of us.